Avid Technology Inc. (NASDAQ:AVID):
Executives: Tom Fitzsimmons – Director, IR Gary Greenfield – CEO & President Ken Sexton – EVP, CFO and Chief Administrative Officer
Analysts: Mary [ph] – JP Morgan Steven Frankel – Brigantine Advisors Andrew Abrams – Avian Securities
Operator: Good day, everyone. Welcome to the Avid Technology first quarter 2010 earnings results conference call. Today's program is being recorded. At this time, I'd like to turn things over to the Director of Investor Relations, Mr. Tom Fitzsimmons. Please go ahead, sir.
Tom Fitzsimmons: Good afternoon. I’m Tom Fitzsimmons, Director of Investor Relations for Avid. I'd like to welcome you to today's call. With me today are Gary Greenfield, Avid's Chairman and CEO; and Ken Sexton, Executive Vice President, Chief Financial Officer and Administrative Officer. Before we begin, please note that this call will include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, including statements about our performance. There are a number of factors that could cause actual events or results to differ materially from those indicated by these statements, such as competitive changes, our ability to execute our strategic plan, or adverse changes in general economic conditions, other important events and factors appearing on our filings with the US Securities and Exchange Commission. In addition, our forward-looking statements represent our estimates only as of today, April 22, 2010, and should not be relied upon as representing our views on subsequent date. We undertake no obligation to review or update these forward-looking statements. During this call, we will be referring to non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. The most directly comparable financial measures calculated in accordance with GAAP and a reconciliation of GAAP to non-GAAP measures are contained in our press release announcing this quarter's results and are available in the Investor Relations section of our website at www.avid.com. For the purpose of understanding our future business models, we will also provide some forward-looking analysis on this call on a non-GAAP basis. Some of our GAAP financial measures are not accessible on a forward-looking basis, and the differences between our future GAAP and non-GAAP financial measures could be substantial. And now, I'd like to turn the call over to Gary.
Gary Greenfield: Thank you, Tom. And welcome, everyone, to our conference call for the first quarter of 2010. Our revenue for the first quarter was $156 million, which represents a 3% increase compared to the first quarter of 2009. This is the first year-on-year increase in revenue since the fourth quarter of 2007. Having just returned from the National Association of Broadcasters Show in Las Vegas, we can sense momentum building across many of our markets, and we continue to demonstrate how we can help our customers succeed in the world of digital media content creation. I will discuss more about NAB and our recent announcements in a moment, but first I will turn the call over to Ken who will provide more details on our first quarter financial results. Ken?
Ken Sexton: Thank you, Gary. And good afternoon, everyone. Revenues for the first quarter were $156 million, up 3% year-on-year, but down sequentially from our seasonally high fourth quarter. We experienced year-on-year growth in most of our product groups. Changes in currency exchange rates also benefited revenue growth year-on-year. We see signs of recovery in our broadcast and creative enthusiast markets with sales to both of these markets up year-on-year. As part of the company’s transformation, our organizational structure has evolved significantly over the last 18 months. The organization is unified as a single operating unit, centered on delivering Avid strategy. This has allowed us to better focus on customers while streamlining our operations. While we will continue to report revenue for audio and video, the remainder of our discussion regarding our financial performance will focus on the entire company. For the first quarter, our video revenues were $84.4 million, down about 4% compared to the first quarter of 2009. While overall video revenue was down, we did see strong year-on-year sales for our ISIS shared storage systems and Interplay production and media asset management products. This growth was offset somewhat by year-on-year declines in some of our broadcast automation and on-air graphics products. In audio, revenues were $71.6 million for the first quarter, which is an increase on a year-on-year and sequential basis. The first quarter year-on-year increase was about 12% for audio products and services. While we had a year-on-year improvement in almost all of our audio product groups, our professional audio products and our live systems venue product line were especially strong. Now I will discuss our operating results on both GAAP and non-GAAP basis. On a GAAP basis, we reported gross margins as a percentage of revenue of 49.8%, up 1.5 percentage points year-on-year, but down sequentially. Our GAAP operating expense was $90.7 million for the first quarter, down almost $16 million sequentially and down $2.8 million year-on-year. The GAAP operating loss for the quarter was $13 million, an improvement year-on-year and sequentially. Our GAAP net loss for the first quarter was $13.5 million or $0.36 per share. I will now speak to our results on a non-GAAP basis. Our earnings press release provides a reconciliation and a comparison of our GAAP and non-GAAP results. The items excluded from our non-GAAP results for the first quarter totaled $8.9 million and include amortization of intangibles of $3.8 million, stock-based compensation of $3.3 million, restructuring cost of $1.3 million, acquisition-related costs of $686,000, and a related favorable tax adjustment of $284,000. Excluding these items, our non-GAAP net loss was $4.6 million for the first quarter or $0.12 per share. Our non-GAAP operating loss for the first quarter was $3.8 million, which represents a $4.4 million improvement compared to the first quarter of 2009. Our non-GAAP gross margin was 50.7%, up 1.1 percentage point year-on-year and down about 2 percentage points sequentially. The year-on-year improvement was largely driven by improved service margins, which were up 4.7 percentage points year-on-year. The sequential decline was driven by a combination of lower revenue, the impact of some of our first quarter sales promotions, and the adverse impact of foreign currency rates. Our non-GAAP operating expenses for the first quarter were $82.9 million. This was down $7 million on a sequential basis and down modestly from $83.5 million we reported last year. The sequential decline in operating expenses is partially attributable to lower consulting costs, less marketing programs, spending and lower facilities costs. The decrease in operating expenses on a year-over-year basis is largely due to lower headcount, facility cost, and marketing spend. These savings were partially offset by higher personnel cost due to the reinstatement of certain program costs such as retirement plan costs suppressed in 2009. Our employee headcount at the end of the quarter was approximately 2,057, excluding 446 contractors. Now turning to the balance sheet, our cash balances at the end of the quarter was $74.2 million, which is down about $35 million from the fourth quarter of 2009. The primary drivers of the change in our cash position were the purchase of Blue Order for approximately $16 million; capital expenditures of $10 million, which is higher than most quarters due to the relocation of our headquarters to Burlington, Massachusetts, planned for June of 2010; restructuring payments of almost $7 million; and a net loss in the quarter. Our net inventories at quarter-end was $72 million, which represents our sixth consecutive quarter with lower inventory levels. Inventories were down over $5 million sequentially and over $20 million year-on-year. Inventory availability was somewhat strained at quarter-end, as demand for certain products was ahead of our ability to deliver finished goods. Annualized inventory turns for the first quarter were 4.2 turns. Our receivable balances of $84.3 million represent 49 days sales outstanding. Our aging improved sequentially, and our DSOs is consistent with our historical performance. And now I’d like to hand things back over to Gary who will provide an update on the business. Gary?
Gary Greenfield: Thanks, Ken. As we mentioned earlier, we are pleased that our revenues were up in the first quarter year-over-year. This coupled with the improvement in marketing additions continues to position us well for profit in 2010. Overall, our markets continue to slowly stabilize across all segments. The US music instruments channels spike at the end of 2009, and early indications for 2010 suggest that the market will continue to gain strength and stability. Avid saw a strong uptick in year-on-year sales across our professional audio products, including studio monitors and our Pro Tools HD product family. The broadcast market continues to undergo a variety of new technology changes with IP based distribution and cable subscriptions increasing at a rapid pace. As a result, our customers continue to look for ways to manage these changing business models to prepare for the future and capitalize on multi-channel distribution. According to ZenithOptimedia, the global advertising industry is improving with 4.3% more ad money for television, a 12.9% increase in online ad spending. Nielsen Media has said that the view in mobile video content grew 57% from 2008 to 2009. With that, we expect to see an uptick in ad sales and ad production in the second half of the year, a positive sign for our customers in broadcast, commercial and post-production facilities. In fact, we had a number of inside new broadcast wins in Q1, including Métropole Télévision, M6 in France, and WHIO in Ohio. The box office continued to see record receipts in the first quarter of 2010 with the ongoing success of 3D films like the Avatar and Alice in Wonderland. In fact, almost every major 3D film made in the past year has used Avid solutions. In addition to a spike in interest from our customers around 3D technology in workflows, we are also seeing an increase in the number of films being made, which bodes well for the future of our Hollywood business. Many of our customers were honored with industry awards in the first quarter, taking home prestigious Oscar, Grammy and ACE (inaudible). The creative teams behind films such as Avatar, the Hurt Locker, UP, and albums from Beyonce, Green Day and Taylor Swift use a variety of Avid audio and video solutions to create these productions, and we congratulate them on those achievements. Building on our acquisition of Blue Order in January, we wrote out a service-oriented architecture or SOA platform that we call the Integrated Media Enterprise or IME. IME is a technology framework designed to help large enterprise media organizations deal with changing business content, creation management and distribution models by helping them integrate various technologies and deliver a broad range of applications that provide flexibility and agility that they will need to respond to new business demands. As part of our IME platform, we’ve extended our Interplay family of solutions introducing Interplay Media Asset Manager, which is based on the technology we acquired from Blue Order, alongside our existing Interplay Production Solution that has over 700 installations worldwide. Customer response to IME has been very positive, and we continue to see a great deal of interest from broadcasters and large post production facilities. You may have seen our announcement last week that CBS News recently invested in the Interplay Media Asset Manager to streamlining its content workflows and gain greater visibility into their media assets. As I mentioned earlier, we went to the NAB Show in Las Vegas last week and had a chance to connect with many customers. In addition to showing IME, Avid made a number of announcements in the show, including our acquisition of Euphonix, which closed yesterday. Euphonix is a leader in digital audio consoles, media controllers, and peripherals that serve customers ranging from independent professionals to high end broadcasters. The openness in modularity of these control services will enable us to provide interoperability across a broad spectrum of Avid and third-party audio and video solutions. And as audio and video workflows continue to converge, we are now well positioned to deliver control services that work across the audio and video applications make in the content creation process more cost effective and efficient for our customers. We also introduced a new version of our Media Composer editing system focused on providing more format flexibility, openness and speed. Customers who have been sharing our excitement about new features like native RED and QuickTime Support and low-cost third party hardware and also addition of user interface enhancements that will help to improve their productivity. Along with the features in this release, we are driven from direct customer feedback and input. The customer and press community were impressed with our new version of Media Composer, and we walked away from the show with three prestigious industry awards; the Best of Show Vidy award from Videography magazine, the TV Technology's STAR award, and Broadcast Engineering's Pick Hit award. All three awards cited technological achievement and innovation. Additionally, Euphonix picked up a Best of Show Vidy award for the MC Color Control Surface. The booth at NAB 2010 was very favorable for Avid. Customers were very excited about our ongoing commitment to become more open and interoperable with third-party solutions. We heard comments like, "The innovation coming from Avid is unprecedented," "Media Composer is a game-changer," and I may have seen the future when referring to our web-based editing technology demonstration. Our commitment to working hard hand-in-hand with customers continues to pay off, and we look forward to continuing this positive momentum. Overall, we are pleased with the progress we have seen both in our business and the industry at large. While the recovery has been slow, it’s been steady, and we are optimistic for the future. Now I’ll turn it back over to Ken to provide some context for the remainder of 2010.
Ken Sexton: Thank you, Gary. Before I review our thoughts on the outlook, I would like to comment on our acquisition of Euphonix, which we closed yesterday. This business was acquired for about $17.6 million of cash and stock. The stock portion totaled $5 million and was valued on the last 20 trading days before the closing. Although this business longer term is expected to generate profits once fully integrated into Avid, it is not expected to contribute to earnings in 2010. Most of this investment in 2010 is expected to be incurred in the second quarter, as we integrate our operations. Now I’d like to talk about our outlook for the remainder of 2010. While we are not prepared to provide specific guidance for 2010, we did want to reiterate our comments from the last call. For the full year of 2010, we expect revenue growth year-on-year and to report an operating profit on a non-GAAP basis. Including the acquisition of Euphonix, our breakeven point for non-GAAP operating income is now at the annual revenue level of $645 million to $655 million. Revenue in excess of this threshold would generate 50% or higher contribution to our non-GAAP operating profit. This breakeven threshold excludes the following GAAP adjustments; restructuring charges, stock-based comps, amortization of intangibles, acquisition or M&A-related cost, and loss or gain on asset sales. Based on what we know today, we would expect these costs to be about $33 million to $35 million in 2010. These adjustments with a $645 million to $655 million revenue assumption would result in a GAAP operating loss of $33 million to $35 million. Other items affecting net income include net interest expense and income taxes. These costs should be about $10 million for 2010. The non-GAAP income would be about $2 million higher for these items. Therefore, at $645 million to $655 million in revenue, we would expect a GAAP net loss of about $43 million to $45 million. Excluding these items and assuming the revenue levels, our non-GAAP net loss would be about $12 million or roughly $0.32 per share. This concludes our remarks, and we would now be happy to take your questions.
Operator: (Operator instructions) We will go first to Paul Coster with JP Morgan.
Mary – JP Morgan: Hi. This is Mary [ph] on behalf of Paul. I have two quick questions. The first one is, if you could provide some additional color on the margin sequential decline. Was there any shift towards hardware or was it just the reason that you already discussed? And secondly, you discussed the NAB, and I was wondering if you could give us any color on the changes in the competitive landscape that you have noticed since or any color regarding the order activity post NAB?
Gary Greenfield: Ken, why don’t you take the margins and I will follow up on NAB?
Ken Sexton: Sure. So first off, on the gross margin, because the comment was regarding the gross margins, which we had a decline sequentially although we improved year-on-year, and the sequential or the year-on-year decline – I mean, the sequential decline was somewhat a result of the change in currency exchange rates that happened from the fourth quarter of 2009 into the first quarter of this year. In addition to that, because we have a lower revenue level, we have less to spread our overhead – manufacturing overhead during the quarter, which also negatively impacted that. We also talked about we did various promos in the first quarter with some of our products, which impacted a little bit. And then the remainder is really mixed. So on a long-term wise, we do not see this as a permanent downturn, but that’s the reason for the sequential decrease. Gary?
Gary Greenfield: Yes. So on NAB, you asked about NAB, but really more broadly in the market as a whole. First of all, NAB is primarily focused around the broadcast industry. And to the extent that goes beyond broadcast, it’s video. Of course, we compete in a much broader area than just broadcast with all of our segments. What I would say is that we have the same list of competitors that are out there. And in the individual categories, and as you know, we compete with certain people in the area of audio that we traditionally have and the area of broadcast. I think certainly in the case of the consoles, Euphonix who we have typically competed with, we now are able to combine into a broader range of offerings. The marketplace as a whole hasn’t changed. What we have seen is at the low end of the market that there weren’t as many of the smaller vendors at NAB. And it’s also getting reflected in broadcaster’s decisions. I think given the tough economic environment, broadcasters have been less willing to make a commitment in emerging technologies because they want to be sure that the company that they are – the technology they are investing in, that the companies are investing in, are going to be around in the near-to-mid future. But overall, the competitors themselves are substantially the same. I think we clearly got – I think there is clearly strong messaging in the marketplace last week that Interplay – Interplay, particularly with the addition of the Media Asset Management, is really emerging as the largest market share asset manager in the marketplace. I think it was clear evidence to be back from both Media Composer and Final Cut users that Media Composer has regained its place atop the editing systems that are out there. But overall, certainly where we compete overall is the same competition.
Mary – JP Morgan: Helpful, thank you.
Operator: We will move next to Steven Frankel with Brigantine Advisors.
Steven Frankel – Brigantine Advisors: Hi. I’d like to revisit gross margins for a minute. Do you expect them to come back in the short run or is it going to take a few quarters for the increase in gross margin, that trend has to resume?
Gary Greenfield: Well, first off, as I mentioned, part of it is currency, part of it is mix. It’s kind of always necessarily hard to predict that, but I think over the longer term, the objective is to still continue to increase margins. As I mentioned in our fourth quarter call, I certainly – nobody should expect the increased or the improvement to be as large as it was in 2009 compared with 2008 as we kind of transformed the company. But we think we still have the capability of continuing to work and improving margin – gross margins over the long-term. And therefore I would anticipate we do that. We’ve never really made any predictions on a quarter-by-quarter basis. So I think that on a quarter-by-quarter basis, they could go up and down, but once you quantify it over a year, I would expect we still would be working to improve those margins.
Steven Frankel – Brigantine Advisors: Okay. When you announced the new version of Media Composer, were there any pricing changes made?
Gary Greenfield: We did not announce any pricing changes.
Steven Frankel – Brigantine Advisors: Okay. And on the storage side, have you seen some more generic competitors win some broadcast business? Do you think that’s kind of a one-off, or is there now pressure on your traditional walk in the newsroom?
Gary Greenfield: I mean, to be clear, Steve, when you see that, there have always been other players inside of broadcast. Where Unity ISIS is used and Unity MediaNet are used is that for the real time portion of the workflows. So they have to have very high performance, very high number of streams. And those, I can tell you in the Avid environments, are not being won by the others that are out there. They are still using – they are still using Unity. I mean, all 700 of those installations of Interplay, as an example, are using Unity that are out there. So we’ve always co-existed with other players that are out there. And we will continue to co-exist with some of those – we will continue to co-exist with those players. We are used for the high availability, high performance workflows that are down for the editing, for the thing that has to be on the show shortly, or whatever it might be. Those are just press releases. Nothing has changed there. In fact, I think Ken commented on it, the storage performed very well in the quarter for us.
Steven Frankel – Brigantine Advisors: And what’s the margin structure of the storage business today that traditionally it’s been higher than the average corporate margin? Is that still true today?
Ken Sexton: As it relates to variable, if you just looked at material cost versus the price of revenue, it’s in the range of all of our products, which we’ve said has always been really in the high 60% range if you just looked at it that way. So I mean, that isn’t the exact margins, but to say that this certainly isn’t a drag on our gross margins. It’s a very nice profitable product for us.
Steven Frankel – Brigantine Advisors: Okay. And what was cash flow from operations in the quarter?
Ken Sexton: Well, the cash flow piece from the operations, by the time you look at all the working capital changes and things like that, will be in the $5 million to $6 million range of usage.
Steven Frankel – Brigantine Advisors: Okay. And again, on the contribution margins that you used to give out, you’re no longer willing to disclose the business like?
Gary Greenfield: We don’t operate the business that way. So we don’t even track it internally that way. If you remember, at the beginning of last year, we reorganized our sales force to be around the customers and not around products or technology. And then in the midpoint of the year, we then started to organize a good deal of our engineering group around technology, not how the products are sold. So I think a good example would be easy to understand is we have one hardware group that goes across whether it’s an audio or a video. We also have some common tools groups and some other types of things. So we don’t operate the business that way internally anymore.
Steven Frankel – Brigantine Advisors: Okay. Thank you. I’ll let somebody else ask question.
Operator: (Operator instructions) We will move next to Andrew Abrams with Avian Securities.
Andrew Abrams – Avian Securities: I was wondering if you could give a little color on why audio was so strong. There is no seasonality in the first quarter at least that I’m aware of.
Gary Greenfield: I would say for two reasons, one reason being the consumers are buying again and we saw a lot of strength in our, what we would refer to as creative enthusiasts for that. Second of all, we did run some specific promotions that – we do run promotions from time to time, but the promotions are going to get taken up. And one of the promotions did phenomenally well – has done phenomenally well for us in the quarter.
Andrew Abrams – Avian Securities: And was that on kind of the new stuff, the rack line or was that on –?
Gary Greenfield: It was for our traditional – for our traditional HD line for our 192 I/O, which is associated with our high end HD.
Andrew Abrams – Avian Securities: And if we talk about Euphonix for a minute, first, can you give us an idea – I mean, Euphonix was sort of almost disappeared off the face of the Earth in financial terms, not in product terms. Can you give us an idea what their revenue run rate was recently and how you are going to integrate the product line and the organization meaning more the R&D side into Avid?
Gary Greenfield: They have been in the mid-teens (inaudible). But it’s been a very consistent picture with them. They have been doing in the mid-teens for several years. So not that [ph] they disappeared, they just – enhancing the robust growth that they have seen from small numbers, but have been pretty steady in the mid-teen number. So when we talk about the integration, as a reminder, the driving force behind Euphonix was three things. One was the – was to create – was a wide reaching range of controllers and control surfaces and ICON sort of fit in the middle there. They had the very, very high end studios and they had – they also had something called the Artist Series, which is a very impressive series design for the independent professional. Secondly, they had a broadcast console. I can’t tell you the number of times we have been asked about a broadcast console of Avid for obvious reasons. And – but they don’t have a distribution channel for that. And they also have in their Artist Series the ability to use the same control service for both audio and video. And we used to say we’ve always been strong on the audio side of controllers, but not really on the video side of controllers using from color correction and other things. And then thirdly, about their – they have an API that allows their controllers – as in Interplay, that allows their controllers to work with third-party software. And we really like the open nature of that. As you know, we’ve talked about openness quite a bit. That protocol is called EuCon today. And we want to make sure that Pro Tools that it does – it doesn’t really work as Pro Tools because Pro Tools historically had not been as open as it might be, and we want to make sure that we open that up in Pro Tools as well. So those are the three driving forces. And I mentioned those because those all have to do with our integration. As of today, I was out – actually I’m on the West Coast. Chris Gahagan runs our product development organization over there. They are laying out their work charts. We’re rolling them right into the organization. They are very happy and excited about it. We are going to be working ASAP on making sure that that our products support the EuCon protocol. We want – we've been working on openness, and that means Pro Tools, Media Composer. We want to be sure that EuCon can work as well – continues to work as well as third party and make sure that we do some other technology work – we do some other technology work as well. So we have the teams already working together on the technology side. We have sales training that’s started in a couple weeks to integrate the sales forces, making sure that our – that the existing, pre-existing Avid salespeople as well as the Euphonix salespeople can sell the entire line. We are putting that on our channels. So this is a very aggressive integration.
Andrew Abrams – Avian Securities: Okay. And last, I wonder if we could – I hate to bring this up because it’s a constant question. But 3D and how Avid interfaces with the world of 3D, not necessarily from the physical standpoint but from a user standpoint, maybe you can kind of walk us through it. I know on a storage basis, it certainly makes a difference. On a workstation basis, maybe it makes a difference, but maybe you can kind of just quantify how you guys see that regardless of whether it’s in film or broadcast.
Gary Greenfield: We’ve been out at NAB with its press conference, one of the questions asked to me is, hey, you guys didn’t announce anything new on 3D, aren’t you going to do anything on 3D? I said, maybe you missed our announcement a year – a year-and-a-half, two years ago, because none of those films you saw could have been put out on 3D without the work that we did then, as we have to lead the trend, not follow the trend. And indeed, in Media Composer, we were showing again on the floor at NAB, we do support the ability to add it in what’s called the offline mode. But what Media Composer does anyway, we have the ability for an editor to use Media Composer to create 3D sequences. As we commented on, there is more storage for a couple reasons. 3D itself demands more storage. Also people usually creating a 2D cut, a 3D cut, potentially an IMAX cut, that’s out there. So storage requirements grow. Relative to the power of the workstation, nothing really changes there. We can do that within the existing power of the workstation that you do have more editors. There is – on Avatar, and I had commented on this on the last call, I believe there were 13 Avid editors, as an example. It was in the credit. We typically see four or five editors in a typical big film. So you’re driving more the need for additional workstations rather than driving bigger workstations or more I/O on that. We’re getting a lot of feedback. Now that 3D films are sort of taking off, we have a lot of feedback coming in about how we can enhance our products to make it easier – easier for the customer. But it’s really – it's simple little things that are explained. Once you start using it, if you could do this, it really would make my life easier or again look at a 3D picture all day to need to edit easily between one mode and other mode or whatever it is. It’s just a very simple feedback. So it is an opportunity for us. I think more importantly it’s an opportunity for Hollywood. Hollywood film productions slowed down. It picked up considerably again. I think 3D is one of those reasons is that people have new capability and new way to tell a story.
Andrew Abrams – Avian Securities: Great. Thank you.
Operator: We will take a follow-up question from Steven Frankel.
Steven Frankel – Brigantine Advisors: Ken, could you go back over the non-GAAP guidance? I heard you say $645 million to $655 million is kind of the breakeven level. Then you made some comment about what the non-GAAP loss would be at that level of revenues. Could you just repeat that one more time? I apologize.
Ken Sexton: Sure. Sure. What I did is referred back to operating earnings on a non-GAAP basis and net earnings on a non-GAAP basis. So if we break even on a non-GAAP basis, which is the $645 million to $655 million in revenues of operating earnings, we are break even on non-GAAP. Because we would still have income taxes on a non-GAAP basis, that would create a loss on a non-GAAP basis. I’m not sure if that answers your question, because if you remember, our income taxes because we have – our income taxes for the most part are income taxes paid on outside of the United States where most of our entities have been set up like distributors. And for the most part, as we get above breakeven and start earning money, we pay no income taxes. However, we would for a long period of time because we have NOLs valued at probably close to $500 million that are outstanding at the moment. Does that answer your question, Steve?
Steven Frankel – Brigantine Advisors: Yes. And you said the total tax bill on a non-GAAP basis was $10 million to $12 million for this year?
Ken Sexton: It would be $10 million on a GAAP basis, and it increases to – it generally increases a couple of million.
Steven Frankel – Brigantine Advisors: Okay, great. I’m all set then. Thank you.
Ken Sexton: Plus we have other interest net – let's say, interest income and expenses are sitting in that number too, but it’s a relatively small number. It’s almost all taxes.
Operator: (Operator instructions)
Gary Greenfield: Well, thank you, everyone. Thank you, everyone, for joining us. We are excited about the momentum that we have going into the year about the growth year-on-year and feel that we are very well positioned for profit this year. So, thanks for joining us and looking forward to talking to you all. Bye.
Operator: That concludes today’s conference. Thank you all for your participation.